Dan Murphy: Thanks and good morning everyone, and thanks for joining us for our third quarter 2010 earnings conference call. Joining me today are George Scanlon, our new CEO; Tony Park, our CFO; Randy Quirk, President; and Al Stinson, Executive Vice President. We will begin with a brief strategic overview from George, as well as an update on the title business and our operating companies. Tony will finish with a review of the financials highlights. We’ll then open it up for your questions and finish with some concluding remarks from George. This conference call may contain forward-looking statements that involve a number of risks and uncertainties. Statements that are not historical facts, including statements about our beliefs and expectations are forward-looking statements. Forward-looking statements are based on management’s beliefs as well as assumptions made by and information currently available to management. Because such statements are based on expectations as to future economic performance and are not statements of facts, actual results may differ materially from those projected. We undertake no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise. The risk and uncertainties, which forward-looking statements are subject to include, but are not limited to, the risks and other factors detailed in our press release dated yesterday, and in the statements regarding forward-looking information, risk factors, and other sections of the company’s Form 10-K, and other filings with the SEC. This conference call will be available for replay via webcast at our website at fnf.com. It will also be available through phone replay beginning at 11:00 A.M. Eastern Time today through October, 28. The replay number is 800-475-6701, with an access code of 173222. Let me now turn the call over to our CEO, George Scanlon.
George Scanlon: Thank you Dan and good morning everybody. This was another strong quarter for our title insurance business as refinance buying began to increase in June and showed continued strength throughout the entire third quarter. With many of those orders opening late in the quarter, we expect to see a significant amount of the benefit of those increased order counts in our fourth quarter results. We completed the acquisition of Commerce Velocity during the third quarter. Commerce Velocity provides technology solutions to mortgage lenders, loan servicing organizations and investment banks that enable users to mitigate risk and optimize outcomes for their mortgage loan portfolios. Commerce Velocity has been strategically aligned with ServiceLink, our national lender platform and a leading provider of origination in default related solutions to the mortgage industry. The strategic integration of our new and existing competencies creates a complete workflow management solution for loan origination through loss mitigation that falls in assets disposition. We sold approximately half of our investment in FIS stock through that company’s August tender offer, selling 1.6 million shares at the tender price of $29. This resulted in total proceeds of nearly $47 million, a pretax gain of approximately $22 million. We continue to own another 1.6 million shares of FIS with a current value of approximately $45 million. There has been significant discussion and speculation concerning our involvement with foreclosures and potential risks we face from those transactions. Many lenders have announced that they have halted foreclosures and the sale of REO properties due to possible flaws in documentation used in the foreclosure process. We do not believe that this situation will have a material adverse impact on our title business. FNF’s title insurance underwriters issue title policies on REO properties to new purchasers and lenders to those purchasers. FNF believes that those policies will not result in additional claims exposure to FNF because the new owners and their lenders would have the rights of good faith purchasers which should not be affected by potential defects in documentation. Even if a court sets aside a foreclosure due to a defect in documentation, the foreclosing lender would be required to return to our insurers all funds obtained from that, resulting in no loss under the title insurance policy. Additionally, we recently reached an agreement with Bank of America under which they will provide a representation that all documentation, procedures and/or notices related to the foreclosure of a property comply with state law and local practice and they will indemnify FNF against any losses incurred directly by their failure to comply with state law or local practice on transactions in which foreclosure has already occurred or been initiated and those to be initiated in the future. We believe that this agreement reflects current law in every state and is consistent with the rights that we have under the policies that we issue. We will also require similar representation and indemnification on future REO transactions from all other lenders. Yesterday our Board of Directors set a dividend payout target of 30% of 2010 net earnings for 2011 common stock dividend. This decision provides additional financial flexibility throughout 2011. The additional uses of cash flow are expected to include stock repurchase, acquisitions and debt repayment. Now back to the operations. Refinance order volumes showed strength throughout the third quarter moving from 10,500 open order per day in July to more than 11,400 open orders per day in both August and September with the trend continuing into October. For the quarter, refinance orders comprised approximately 67% of total open orders and 63% of closed orders, with closed refinance orders increasing to 67% of total closed orders during the month of September. While we started to see an increase in closing activity later in the quarter, a large number of the third quarter open orders were actually closed during the fourth quarter providing additional earnings momentum as we closed out 2010. We had another strong revenue quarter in the commercial title business. Commercial revenue accounted for approximately 19% of total direct title premiums in the third quarter compared with 16% in the third quarter of 2009 and 19% in the second quarter of this year. We opened approximately 18,000 commercial orders in our national commercial divisions and closed approximately 10,300 commercial orders generating $68 million in revenue with a fee per file of $6,600. This represented a 47% increase in fee per file and an 18% increase in total commercial revenue versus the third quarter of 2009. We are encouraged by a second consecutive quarter of stronger commercial title activity and are hopeful that this trend might be an indication of an improving commercial market. Specialty insurance revenue was $114 million for the third quarter, an increase of approximately $11 million from the third quarter of 2009. Flood insurance generated $51 million in revenue, personal lines insurance contributed $41 million in revenue, and home warranty produced $19 million in revenue. Pretax earnings were $11 million and the margin improved to 9.6%. Personal lines business produced a loss ratio of 70% for the quarter. Finally an update on the performance of our portfolio companies. While we do not consolidate the results of Ceridian, it produced revenue of $363 million and EBITDA of $73 million, reflecting an EBITDA margin of 20%. Our 33% share of Ceridian’s quarterly loss was $8 million. We also do not consolidate the results of Remy but they produced revenue of $283 million, a 42% increase over the same period in 2009. EBITDA of $38 million was strong and grew 77% over the prior year. Our share of Remy’s quarterly net income was $7 million. And overall, we recognized $1 million in earnings from our equity investments. I’d like to now turn the call over to Tony Park, our CFO to review the financial highlights, Tony?
Tony Park: Thank you George. FNF generated $1.4 billion in revenue for the third quarter with pretax earnings of $128 million, and cash flow from operations of $21 million. Cash flow from operations was negatively impacted by claims paid in our title and home-owners business being $67 million higher than the total provisions for losses. Book value was $15.25 per share at September 30. The title segment generated $1.3 billion in total revenue for the third quarter, a 5% decline versus the third quarter of 2009 as closed orders fell by 7%, and the fee per file increased by 3%. The price increases of 2009 and the more robust commercial business allowed for the increased fee per file despite a larger mix of closed refinance orders in the third quarter of 2010. Pretax earnings were $136 million including $22 million from the sale of the FIS shares and the pretax title margin was 10.5%. That pretax title margin was 8.9% excluding the FIS gain. Title segment personnel cost decreased by $9 million or 2% versus the third quarter of 2009, and other operating expenses declined by approximately $23 million or 8%. Overall, total title premiums fell by 8% versus the third quarter of 2009, while personnel and other operating costs combined declined by 5%. Additionally, personnel and other operating costs were combined 53% of gross title operating revenue for the quarter versus 52% in the third quarter of 2009. Debt on our balance sheet primarily consists of the $701 million in senior notes due in 2011, 2013 and 2017 and the $100 million drawn under our credit facility. Our debt to total capital ratio was 19% at September 30. Total titles claims paid were $132 million during the third quarter, continuing somewhat above expectations primarily associated with claims incurred during 2005 and 2007 and personally mitigated by more favorable experience in recent years. Overall, our reserve position is still within reasonable range of our actuary point estimate. Additionally, we maintained our 7% provision level, and expect to do so again in the fourth quarter. Finally, our investment portfolio totaled $4.9 billion at September 30. There are approximately $3.1 billion of legal, regulatory and liquidity constrains on some of those investments including secure trust deposits of more than $400 million and statutory premium reserves for underwriters of approximately $2.1 billion. There are also some less liquid ownership interest in Ceridian, Remy, and American Blue Ribbon of more than $500 million. So, of the gross $4.9 billion portfolio, approximately $1.8 billion was theoretically available for use, with about $1.7 billion held at regulated underwriters, and approximately $100 million in non-regulated entities. With a debt to capital ratio of 19% and only $100 million drawn on our credit facility, we have significant flexibility at the holding company level and continue to maintain a strong balance sheet. Let me now turn the call back to our operator to allow for any questions.
Operator: (Operator Instructions). One moment please, for our first question. And we have a question from Mr. Bob Napoli from Piper Jaffray. Please go ahead.
Bob Napoli – Piper Jaffray: Thank you. Good morning, and George congratulations on your new role at FNF.
George Scanlon: Thank you Bob.
Bob Napoli – Piper Jaffray: Question I guess on two things, one the BoA deal, what pressed out about their indemnification and given your view of, the exposure that you had on the market, did they – how did you get them to sign that? Why were they concerned about the market being steady for the title – other title insurers not funding or providing policies on foreclosures. What’s going on there?
Peter Sadowski: This is Peter Sadowski. I’ll respond to your question. The number of factors I believe quite into it. The first BoA wanted to make sure that we will be able to easily assure their sales once their foreclosure process begins again. They didn’t want the title companies to have any impediments or to give any impediments to their future sales of our REO properties. At the same time one of our competitors issued a press release that they wouldn’t ensure another lender at all, and I think that caused them concern. So they approached us with an offer of an indemnity which we of course accepted. So that’s the background for it. As George stated in his earlier comments, that indemnity is basically reflective of what the law already is in all of the states. We do not believe there is any cost for any of these transactions to be set aside. People that have purchased the properties are good site purchases. And we feel comfortable that it is highly unlikely we’re going to have any issues with it. I think BoA felt the same way and this was simply something to ease future transactions.
Bob Napoli – Piper Jaffray: Great, thank you. And a follow-up on the dividend, when you have that dividend that through the some pretty tough times over last years, to cut the dividend., now is that an indication that you just expect them the visibility of earnings next year, earnings growth and the purchase market returning are still not clear. Is it an indication of any additional concerns on the claims side? Why now given that your balance sheet looks like it could handle that level – the level of dividends you had and certainly investors appreciated that dividend.
Bill Foley: Bob, this is Bill Foley.
Bob Napoli – Piper Jaffray: Hi Bill.
Bill Foley: We had a kind of a long Board meeting yesterday and we started looking at the payout ratio versus earnings of our dividend policy. And we saw we’re coming out this downturn in short order. We would have maintained that payout ratio. It was over 60% of after-tax earnings. And that the board just felt, look let’s just be a little conservative going forward in the next, for the next year or two. Let’s see how the economy does. And let’s also start reserving some dollars that might have gone to dividend repay – to dividend payout and buy stock back. So it’s really a combination – it was a combination of factors. And it was a review by the Board. And it was a pretty long discussion, I guess we have been consistent with our dividend, and we obviously have the financial capability to keep on, to maintain a $0.72 rate per share going forward. And we just thought after lot of hand ringing that we have to set a target and we have to announce the target right away, pay the current dividend at the current rate, then announce the target for 2011 and we felt that the 30% payout ratio was probably in the ballpark of what insurance companies pay out and still lot of those could be conservative going forward. Can’t say that if that’s going to be the policy forever or for six months or nine months that we start having some pretty good premium pickup in the market. You will see the dividend pop back up but we are just trying to preserve reserve capital. That’s kind of as simple as that and (inaudible) to buy stock.
Operator: And we have a question from Mr. Mark DeVries from Barclays Capital.
Mark DeVries – Barclays Capital: First, I just wanted to clarify one point. Did you indicate in the scenario where foreclosures are set aside that you believe it’s the law in all states that then the seller has to reimburse the purchaser for all funds?
Al Stinson: Well, sure. If a foreclosure is set aside, which, as I mentioned is very highly unlikely that that could happen, but if a foreclosure is set aside, then the purchaser who bought the property is going to get his or her money back from the lender who sold it to him.
Mark DeVries – Barclays Capital: And in the light of the outlook for the next year, are there any additional expenses that you guys are targeting at this point?
Tony Park: We did also the same board meeting yesterday, review our kind of our corporate overhead, corporate expenses. We feel like a very good job has been done relative to the operations. But corporate expenses, we feel there may be some room to take some cost out, as we have established a synergy plan for senior management from the CEO level on down that based upon obtaining $50 million synergy save or cost cut target, some fairly decent dollars will be available on a special bonus program, and then that bonus program, we go on above $50 million but we will be at a 25% share rate. So our initial target is to save $50 million; the first $25 million is the shareholders money. So we don’t pay on the first $25 million but the next $25 million, we start having the payout ratio and above $50 million, the payout ratio goes up. So we are underway on that program, as we speak right now and there is a taskforce being put together and we need to save some money, as simple as that.
Mark DeVries – Barclays Capital: Okay. And then, just one last point. With the mix of refi-ing about 57% on open versus 54% on closes, is it reasonable to assume there won’t be too much additional pressure on the average fee per files as we head into the fourth quarter?
Al Stinson: I don’t believe there is going to be any pressure. We are kind of at the refi peak right now and we are getting a lot of orders, those – the fee per files will be pretty stable.
Operator: And we have a question from Mr. Brett Huff – Stephens.
Brett Huff – Stephens: George, congrats on the new role.
George Scanlon: Thank you, Brett.
Brett Huff – Stephens: Any thoughts on the timelines for the saves that’s good news for us I think and any timelines on that?
Al Stinson: Yes, we are looking at no more than a 12-month (inaudible) take out, trying to get $50 million out within the first six months on a run rate basis.
Brett Huff – Stephens: On the closing ratio, the closing ratios were a little bit lower than we expected. Anyway, I presume that’s just a function of things just taking longer including refis to close because of additional due diligence. Is it different from that or more than that?
Al Stinson: I think that’s the right way to look at it. Everything I think we said last quarter is getting pushed out a bit. And we go as fast as we can go, the lenders obviously are pretty thorough and things are pushed out a bit.
Brett Huff – Stephens: You mentioned that you are going to keep the 7% claims expense provision for 4Q. Any thoughts on it going forward, any change in your view? From what I understand before is it you didn’t think that it was going to change from that. As we look forward, any change in that view now?
Tony Park: This is Tony Park. I don’t think we anticipate any change going forward. Payments, as you know, for the last couple of quarters have trended a little higher than expectation but we are seeing encouraging signs from the most recent policy years, those being 2008, 2009 and 2010. We are also paying about 35% to 40% of our current claims, are coming from cancelled agents. A lot of those agents have been cancelled over the last couple of years, but a lot of those agent cancellations date back all the way to 2005. So we expect the tail to be shorter on those and loss ratios a lot greater on cancelled agents. So our expectation is that despite higher claims payments right now that they were turned to lower, sometimes in near future and this 7% would actually be a little heavy for the current policy years.
Brett Huff – Stephens: And then in terms of the lender indemnification, I think you mentioned that you expect similar indemnification from other lenders on REO properties, could you just give us more color on that, are you in discussions with other lenders particularly is that just sort of a policy that you now require regardless or –
Al Stinson: It’s both. We have discussions with other lenders about a form of a global indemnity and we circulated bulletin to all of our operations and agents that as of November 1. We will require an indemnity from the seller, the service or a lender before we would ensure that REO sale.
Operator: And we have a question from Mr. Doug Mewhirter from RBC Capital Markets.
Doug Mewhirter – RBC Capital Markets: First question is your escrow fees and other didn’t I guess exactly track with your title premiums, they seem to be coming a little bit better? Was it a result of that acquisition or is it just changing the kind of a mix, did you have any large fees that rolled in this quarter?
Tony Park: I think part of it is loan care, we had an increase in loan care revenue. It was an acquisition last year. So you don’t have a full quarter of loan care revenue, which runs about $12 million a quarter. So that that’s part of it. Other than that, I think it mostly tracks with the change in the premium level.
Doug Mewhirter – RBC Capital Markets: And so, what the timing of the closing in that loan care?
Tony Park: I think it was in June or July but there has been growth in that business. So part of it is is the growth that we have seen, I can’t remember the revenue in the third quarter of last year but it might have been half to three quarters of what it was this quarter.
Doug Mewhirter – RBC Capital Markets: And the second question is about the, I guess more broadly capital management question, not necessarily the dividend. Do you still intend to pay down that debt coming due in August of next year rather than refinance it and was that maybe a factor in your decision to I guess rejigger the dividend formula?
Al Stinson: Actually, we are intending to pay down the $166 million that’s due next August, out of available funds that we may have to draw down a line of credit for some short period of time to aid with that paydown. But that actually went into the thought process as well, just to maybe preserve a little capital, we will be in a position to not have – not refi but just keep on paying debt down.
Doug Mewhirter – RBC Capital Markets: I guess the personnel expenses went up sequentially a little bit, last quarter and revenues went down a (touch) sequentially. I assume now it will be mostly timing because you staffed to open orders not necessarily close the orders and you are basically – you are incurring cost for revenues you are actually going to get next quarter, is that it or is it – are you seeing something different, maybe you opened another office in a market which was promising?
Al Stinson: I think that’s the right analysis, Doug. I think we are using temporary labor to get through the refi cycle that we are enjoying right now and we will expect our personnel cost to come down as we get through that order backlog, like we have consistently in the past to maintain our margins.
Operator: We have a question from Mr. Nath Otis from KBW.
Nath Otis – KBW: Most of my questions have been answered. So just one quick one. Any color on order volumes thus far in October?
Randy Quirk: Yes, it’s Randy Quirk. The first two weeks of October, we have – our order volumes have actually ran up over the last few weeks of September. So if they are growing certainly at minimum they are holding very strong refi orders for the full three months of the quarter and slightly up in the first two weeks.
Doug Mewhirter – RBC Capital Markets: Okay, that’s it. Thank you.
Operator: And we have a question from Mr. Adam Klober or Klauber from Macquarie. Please go ahead.
Adam Klauber – Macquarie: Macquarie, thank you very much. A question on the capital management, you mentioned potentially more emphasis on share repurchase. How will that share repurchase is at wait and to see, wait to see how the environment evolves or is it potentially if the stock becomes more attractive you may jump in?
George Scanlon: We actually have a share repurchase program that’s been under way for some time and we target at various levels based upon our book value per share. And we haven’t been in the market over the last month or so, month and a half, but if the share price weakens we want to be prepared to buy some shares back. We frankly feel like we have way too, we have far too many shares outstanding, 229 million shares. And if we could reduce that share count significantly it would be good for all shareholders. So that’s our goal. It’s kind of capital reallocation from dividend payout to share repurchase.
Adam Klauber – Macquarie: Thanks and one more follow-up. With the foreclosure issue have to-date, and I realize its early but have you received any related claims or any related law suits to-date?
Tony Park: None.
Adam Klauber – Macquarie: Okay, thank you very much.
Operator: And we have a question from Mr. Bob Napoli from Piper Jaffray. Please go ahead.
Bob Napoli – Piper Jaffray: Just a question on one of your new businesses and the Commerce Velocity, and you guys obviously built a mortgage related financial technology business processing businesses and it’s called LPS today. And but I just wondered first of all are there any – do you have any non-compete restrictions and are you really trying to go back after that market segment and kind of rebuild what you had subsequently sold and spend off.
George Scanlon: We have no non-compete issues with regard to LPS and their mortgage servicing platform. We do feel like that the mortgage servicing platform that LPS provides, while it has – it’s very sticky and has significant client penetration that is a little outdated. And part of Commerce Velocity – part of the idea with Commerce Velocity is to give lenders or give servicers an alternative. And it’s all being process, it’s all being programmed but the original reason for our company moved to Jacksonville was based upon acquiring the mortgage servicing platform that’s now owned by LPS and somehow that gone away from us. And we need to be competitive in that space. And we’re, frankly have a very strong balance sheet and we have very deep, we have deep relationships with every lender. And Commerce Velocity is going to help us in terms of penetrating those lenders in a little different way than we have in the past.
Bob Napoli – Piper Jaffray: And what about the default business, the kind of some of the businesses that you had are also not part of LPS?
George Scanlon: We don’t have the same level of default foreclosures, loss default business of LPS as. We’ve built that business from 2001, 2002 through about 2006 or so or ‘07 when the business was spun-off. But we are into default business today and we have a series of default effort underway with our ServiceLink company. And it’s an area that we need to penetrate more deeply and it’s a very lucrative piece of the business, hence the dark side of the business looks very lucrative. So we’re on it.
Bob Napoli – Piper Jaffray: Thank you.
Operator: And we have a question from Mr. Dan Simon (ph) from (indiscernible). Please go ahead.
Dan Simon: Hi thanks for taking the question. I was just wondering, if you look out next year and may be the year beyond, you guys have historically said, you don’t really run your business based upon the forecast that guys like MBA and Fannie Mae put out there. But clearly their outlays trillion dollar-ish numbers for total originations next year. And I’m wondering how much of your decision on the dividend comes from looking at those numbers and saying going from a $4 trillion to $1 trillion is going to cause some serious problems in the industry. So I’m wondering if that played a role. Second, I’m wondering if or how much just a general concern that there is going to be a slowdown in foreclosure sales due to all the noise going on, obviously not on the claim side for you guys but just slowing down the actual process of moving these foreclosures through the pipeline. And then third I’m wondering, if there has been any regulatory pressure on your guys or not pressure but I’m coming to you and saying hugs (ph) in some capital here, we foresee tough times ahead, we might need you to come in and help rescue some policy holders who are going to be stuck in title companies that maybe aren’t going to be able to make it, if we have a trillion dollar market? Thanks.
George Scanlon: The answer to the last question first is that we haven’t had any contact with any regulators with regard to preserving capital or building our stead straight balance sheet. We have debt to cap ratio of 18%. So we’re very secured and safe and relative to our overall capital structure and our investment portfolio. Our investment portfolio is short-term in nature and its very, very high quality. So from that standpoint, there are really no issues. Now on the foreclosure side, we’re not – it’s not a significant piece of our business today. We’d like to have a bit larger but it’s not a significant piece of our business. The refi business is very significant. And so we don’t feel like foreclosures are going to have much of an impact if they get delayed. It just means that whatever fees are going to be earned, might be earned in the next quarter or the quarter after instead of the current quarter. So that’s, that again is not really concerned. And I would say that there is just a lot of uncertainty in the real estate industry and of course by about the time everything thinks things are uncertain and they’re getting worse and getting worse, they suddenly get better. But we’re just trying to be conservative and really our capital allocation in the dividend policy, we’ve felt like we wanted to preserve additional cash, take part of that dividend that is being out to shareholders and buy stock back to reduce our shareholder base. And when we compare ourselves to title insurer competitors, they frankly have a much lower payout ratio than we have, First American pays $0.24 and Stewart really doesn’t really pay much of the dividend. So we just felt like we were maybe not getting rewarded for the 5% yield on our dividend, we’re trading at the same multiple of book that FAF is trading for. So all that went into the decision process. So conservatism, reserved capital, buy shares back and maybe not getting rewarded for it.
Dan Simon: Given your comments about your capital strength, I’m curious about the thought process of paying down the $156 million next year and further de-levering your balance sheet as supposed to perhaps using that money towards buying back your stock which is trading considerably below book value today?
George Scanlon: That’s again a consideration. It’s a consideration to perhaps just drawdown the line and use those funds to buy shares back or to engage in an acquisition program that might be, it might have earning assets that we’d own a large percentage and would consolidate on our balance, but they would actually creep unrestricted, unregulated cash flow to the holding company. And we’ve done a little bit of that with American Blue Ribbon Holdings. But our other large investment was Ceridian, we’re a minority partner and we really don’t – and its highly leveraged company. So we really don’t get any cash flow out of that. So the next transactions we do, we want to make sure that we have an earning asset that would be distribute cash up to the holding company. So all the things we’re talking about, when is the thought process on the dividend. It was – usually our Board meetings are about two hours or two and a half hours and this one was about six hours. So it’s about twice as long as normal because we were wrestling with some of these issues.
Dan Simon: Have you given thought to if the sort of downside scenario comes to fruition about whether or not you all would be able to participate in any sort of industry consolidation? I would expect a normal times, you’re probably precluded giving any trust concerns but if we did get a distressed environment, would that allow you guys to pick up further share?
George Scanlon: I would say that if things become stressful they were a couple of years ago when the LandAmerica opportunity came to us and they had filed bankruptcy, that would be the situation that we’d be able to execute against the further consolidation to the industry. So we are and we’re by far the strongest financially much larger investment portfolio, much stronger of loss reserves. And every regulator if they have a problem with an underwriter, it’s going to look to the strength in the industry to solve their problem for them. So again that is also part of the thought process we went through.
Dan Simon: Great, thank you very much.
Operator: Thank you. (Operator Instructions) Okay, I would like to turn the conference back to the CEO Mr. George Scanlon. Please go ahead sir.
George Scanlon: Thank you operator. This was another strong quarter for our title insurance business as refinance volumes began to increase in June and showed continued strength throughout the entire third quarter. With many of those orders opening late in the quarter, we expect to see a significant amount of the benefit on those increased order accounts in our fourth quarter results. Thank you for joining us this morning.
Operator: That does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference Service. You may now disconnect.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!